Operator: Good day and thank you for standing by. Welcome to the Second Quarter Fiscal Year 2022 Conference Call for Ocean Power Technologies, Inc. As a reminder, this call is being recorded and would be available on the company’s website shortly after its completion. I would now like to hand the conference over to your speaker today, Joseph DiPietro, Controller and Treasurer. Please go ahead. 
Joseph DiPietro: Good morning and thank you for joining us on this call. A webcast of this call is also available on our website at www.oceanpowertechnologies.com. Joining me on the call today are Dr. Philipp Stratmann, President and Chief Executive Officer; and Bob Powers, our newly appointed Senior Vice President and Chief Financial Officer. Following our prepared remarks, we will have a question-and-answer session. After the market closed yesterday we issued our earnings press release and filed our quarterly report on Form 10-Q for the quarter ended October 31, 2021. All of our public filings are available on the SEC website at sec.gov, or within the Investor Relations section of our website. This call will include forward-looking statements that are within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are identified by certain words or phrases and are based on assumptions made by management regarding future circumstances over which the company may have little or no control and involve risks, uncertainties, and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. Additional information about these risks and uncertainties can be found in our most recent Form 10-K and subsequent filings with the SEC. We disclaim any obligation or intent to update the forward-looking statements made in order to reflect events or circumstances discussed on this call. Now, I am pleased to introduce Dr. Philipp Stratmann. 
Philipp Stratmann: Thank you and good morning. We have a lot to update you on this morning as we had a busy second quarter and start to our third quarter and executing our strategy to become the global leader in data and power as a service within our oceans and seas. This is an exciting time for Ocean Power Technologies. Some quick highlights of our progress included further growth of our strategic consulting services, the advancement of our maritime domain awareness solution, and the acquisition of marine advanced robotics, a leading company which manufactures autonomous water vehicles. We have quickly established the necessary beachheads to deliver consistent, reliable, and most importantly actionable data intelligence to our global customers.  Before I get too far into our strategy and business update, I would like to take a moment to introduce Bob Powers, our new Senior Vice President and Chief Financial Officer. As you saw in our press release on Monday, he started with us a few days ago and we could not be more excited about Bob joining our team. He brings expertise in driving financial excellence and executing strategy within a broad range of companies and industries and has extensive experience with M&A activities. Bob possess strong financial acumen, is proactive, and a clear communicator and he will bring great leadership to OPT, all the top requisites we were looking for. We are fortunate to have him. With that I would like to introduce you to Bob Powers. Bob?
Robert P. Powers: Thank you Philipp. It's my pleasure to be here today and share with our investor community how excited I am to join this innovative company. Early in the recruiting process it became clear that my experience and skillset would allow me to hit the ground running and make an immediate impact at OPT. My background includes more than 25 years of financial experience for a number of public and private companies. Most recently I was CFO at Constellation Advisors, a private equity owned provider of outsourced back office operations and compliance services.  There are many reasons why I decided to take this opportunity. Although I've worked in companies of various sizes I truly enjoy the action, fast pace, and high degree of openness to change that exist in smaller companies. Plus, I believe at OPT I have the opportunity to do something special. Nearly 70% of the world is comprised of oceans and OPT is a company looking to tap into that enormous resource to better connect our oceans with those who operate there. The company's strategy ties nicely into the critical and very timely topic of sustainability and I became convinced the market potential is massive. It is very appealing to be part of that at such a critical stage. I look forward to being a strong partner to Philipp and the organization and executing the company's strategic vision. I also look forward to speaking with many of you over the coming months and earn your trust quickly. I will now turn things back over to Philipp. 
Philipp Stratmann: Thanks Bob. It is great to have you on board to help us execute our strategy and drive shareholder value. While we welcome Bob, I also want to take a moment to thank Scott Salantrie who served as Interim CFO the past few months and provided us with substantial support us as we filled this important executive role. Scott has provided strong leadership, wise counsel, and steady guidance over the past few months and we thank him for that. We wish him well as he returns to being semi-retired.  I will now turn my comments to the performance of our business as we continue to evolve from being solely a manufacturer of wave energy devices to becoming a multi-faceted offshore data, power, and engineering services organization. I will organize my comments around our three core service areas which also serve as the foundation of our growth strategy. Our vision is to have our data as a service segment provide constant data information to our customers. This started in earnest with the work we did for Harbor  Energy in the North Sea in 2019. Since then we've been developing a maritime domain awareness solution to introduce edge computing and artificial intelligence modules that can be delivered to customers via cyber secure cloud environments. For instance our data as a service can provide governments with key activity data to protect our shores as part of national security measures.  We boast of this segment with the acquisition of marine advanced robotics in mid-November. This was a cash and stock deal plus it has an earn out provision over the next two years. We paid $11 million at closing including $4 million in cash. We expect this deal to be immediately accretive for the balance of fiscal 2022. MAR designs and manufactures unique autonomous surface vessels utilizing the patented wave adaptive modular wave technology or WAM-V for short. These stable and portable ultralight vehicles are incredibly useful for a multitude of applications such as marine survey missions, active patrolling of waters, and maintaining safe borders. We believe there are substantial synergies to be gained with OPT's focus on maritime domain awareness and integration with our PowerBuoy products that can extend the length and scope of missions at sea. MAR has three sizes of commercially available vehicles providing our customers with multiple options depending on their needs. MAR has a strong customer base, pipeline of product sales, and robotics service projects. We're looking to use OPT's resources including our 56,000 square foot manufacturing and warehouse facility to scale up their capacity to meet the demand for WAM-V’s for industrial security and researches. Our acquisition notwithstanding, the pace of development continues on schedule with our propriety maritime domain awareness platform.  As I mentioned last quarter, we are creating a leading edge cloud based platform with expandable sensor and analytic capabilities. We're doing this using a mix of internal expertise supported by external firms for development, namely Fathom5 and Greensea. Both have strong reputations with cloud computing and robotics development. We are continuing to test and refine our maritime domain awareness offering with ocean trials off the coast of New Jersey. Since September we have deployed and retrieved test buoys that operated as expected and produced broad data information including video footage and radar trucks that we believe will be very attractive to our customers. Our near-term plans include deploying PB3 and hybrid power buoys outfitted with the necessary radar cameras and other equipment software development continues. We believe that pairing the security features of our MDA system with a zero and low carbon power of OPT's PowerBuoy products and with the future integration of the capabilities of the WAM-V vehicles will keep OPT at the forefront of this critical market.  Next is our power as a service segment which delivers autonomous clean power to our customers wherever and whenever it is required by utilizing our managed power platforms such as the PB3 PowerBuoy, hybrid power buoy, and the Subsea Battery for topside and subsea power applications. We continue to advance our existing platforms to offer our customers an expanded range of options for delivery of power to their equipment. A recent example of these efforts is the initial study conducted for the deep stock consortium developing a concept of subsea oil and gas power supply. We also continue development of our next generation Mass-On-Spring Wave Energy converter supported by the U.S. Department of Energy Ground we just spoke about on our last call. This is the type of public private blue energy collaboration that we believe is necessary on a larger scale to accomplish the goals of the United Nations decade for ocean science for sustainable development.  And finally we have our strategic consulting services business which focuses on delivering value to our customers in the areas of ocean engineering, structural and dynamic analysis, front-end engineering and design or FEED studies, and motion simulation. Our February 2021 acquisition of 3Dent Technology continues to integrate well and has expanded our strategic consulting services offerings. I'd like to remind you that we are in the process of sub-setting the name 3Dent and going forward we will simply refer to our strategic consulting offerings. We now have the capabilities to conduct engineering projects for a variety of clients including offshore energy related applications. This is especially important right now as the oil and gas industry recovers from last year's downturn. We are seeing increased demand for this type of support as companies look to restart exploration and production projects that were put on hold due to the pandemic. Another achievement for our consulting business include successfully winning our first wind farm project early in the third quarter. We are excited about our progress to date and the opportunities ahead of that -- of us. With that let me turn the call over to Joe to discuss the financial results in more detail. 
Joseph DiPietro: Thank you Philipp and good morning again to everyone joining us on the call today. Revenue for the second quarter of fiscal year 2022 increased to 247,000 compared to 118,000 in the second quarter of fiscal year 2021 due to the growth of our strategic consulting services. Engineering and product development costs increased $1.1 million sequentially from the first quarter this year, this was mainly due to testing done off the Coast of New Jersey as we further position our data as a service segment for growth.  Selling, general and administrative costs increased by approximately $200,000 from the second quarter of fiscal year 2020 to the second quarter of fiscal year 2021. However, declined sequentially from the first quarter by almost $900,000. We continue to operate with a strong balance sheet and in the second quarter with $72.6 million of total cash and cash equivalents and no bank debt which gives us significant flexibility. We expect our cash near-term to fund our operation needs of approximately $5 million of cash per quarter. Additionally, in support of our growth strategy we will continue to look for tuck-in acquisition opportunities that reinforce our three core service segments. The MAR acquisition is a great example of this which resulted in a cash outlay of $4 million at closing subsequent to quarter end. In short we had a fairly straightforward quarter from a financial perspective. For now, we are happy to take your questions. 
Operator: . Our first question comes from a line of Robert Rayo . Please proceed with your questions. 
Unidentified Analyst : Hello, I'm individual investor and I got it. I'm retired from army so I got some different questions and probably what most people have. One is on the last conference call you stated that you guys will be deploying three PB3’s one of them be the anchorless PB3 off New Jersey and we have not heard anything about that or had any news releases at all. So my question is I've read up on a lot of the navy on the navy sites how the SPIR and STTR works and in most cases it states that if study goes into Phase 2 it becomes a lot of times confidential or secret. So my question to you is, is that test with the anchorless -- with the navy is it classified so that you guys are basically under NDAs were you cannot release information on it? 
Philipp Stratmann: Hi Robert. Thank you for your question and for being an investor. The tests of New Jersey that we are conducting are entirely financed on our right. The products that we have deployed so far are a set of test buoys and we have a set of PB3s on the hybrids being deployed at those three sites that we have. And then later on in the fiscal year we would also be deploying the first demonstrator for the next generation PowerBuoy system that we are developing which I mention is the mass-on-spring-wave-energy-converter or MOSWEC for short. But the three sites that we have they are financed by us and their science are permitted by the army corp of engineers. 
Unidentified Analyst : Okay, one more question. Your buoys, the PB3s can detect other ships or vessels or whatever. I'm wondering what is the distance, how far out can they detect vessels and can they pinpoint their location say like a GPS location and how accurate was the accuracy on that? 
Philipp Stratmann: Thank you for the question Robert. The detection distance depends to a certain extent on high up we fit the mast and how high up the customer is wanting to go and how many miles a customer wants to cover. Typically speaking we are out and about 50 nautical mile radius range for detection and with the combination of AIS radar and video camera detection abilities that we've got, we can pinpoint vessels very accurately including having the ability to detect AIS spoofing on vessels with AIS off. 
Unidentified Analyst : Alright, thanks. That's all the questions I have at this time. 
Operator: Thank you. Our next question comes from the line of Tom VanArsdale  with Arsdale Capital Management. Please proceed with your question. 
Unidentified Analyst : Yes, guys, so I saw the results and the total losses to investors are $243 million. When are you guys going to be profitable? Saw the recent acquisition, explain the pathway to profitability for this company? 
Philipp Stratmann: Absolutely. Thanks for the question Tom. As I mentioned on the last call, as we reiterated today we are moving towards the data -- ocean data as a service segment. And one of the reasons for why we brought in Bob Powers as CFO is his experience with the subscription stream revenues. And the ocean data as a service segment lends itself to start providing more of a  type service which are recurring revenues which result from the subscription streams that we can set on the date a bit. And in addition to that we can provide our buoys as a power as a service segment into those. So, by layering on the recurring revenues over the platforms, we are building out an installed base around the globe that enables us to go and generate profits and that's become profitable for our shareholders. 
Unidentified Analyst : And with the installed base, how many PB3s are in the water for paying customers? 
Philipp Stratmann: At the moment and per the press releases that we have got, the primary PB3 that's currently installed which was down still under the previous strategy that we were executing is the one that's down in EGP for Chile. 
Unidentified Analyst : So there's only one in the water and pathway to profitability is when? 
Philipp Stratmann: The way -- as I said, as the way we're executing, is we are building out the installed base. And in order to increase the installed base and make the underlying platforms being profitable by themselves is by building out the solution set that sits on top of the platforms because ultimately that is what the customers are interested in in terms of being able to help solve their problems. 
Unidentified Analyst : Thanks. 
Operator: Thank you. Our next question comes from a line of Jeff Brubaker . Please proceed with your questions. 
Unidentified Analyst : Hi everybody. I was just wondering if you can speak any further on the slam-on initiative, is that pretty cool video about Ocean Powers -- that and specifically if there is a PB3 at the slammer  plant market that would be in Monterey or not? 
Philipp Stratmann: Hi Jeff, thanks. That's a good question. We're very excited to working on slammer, the sea line and military research initiative which is being hosted by the naval postgraduate school. As you've probably seen in that video the initial studies for that project have been completed. And ultimately that will involve a PB3 that would be going in the water for the offshore demonstrations. And as you would have seen it fits exactly into that maritime domain awareness space. It is using a PB3 to power communications gateways, in this case as you saw in the video provided by AT&T to extend 5G offshore and then communicate with aerial surface and subsea drones. We are currently in ongoing discussions with naval postgraduate school about when and where the demonstration for the actual offshore demonstration will take place and looking for the ideal location in terms of permitting. 
Unidentified Analyst : Okay, awesome, thanks. And then you mentioned that Next Gen PowerBuoy with Fathom5 slam compliant Greensea, I was just wondering when we could expect some more information on that like what the new capabilities might be and stuff like that? 
Philipp Stratmann: Okay, yeah I think just to clarify Fathom5 and Greensea and this is where we are moving to a more of a platforming approach and Fathom5 and Greensea are independent of the underlying platform. They are developing the edge computing and cloud computing capabilities for us. The mechatronics for the solution payload, the next generation power platform I mentioned is mass on spring wave energy converter. Essentially what you end up doing, you move the moving parts on the outside of the PB3 into the PB3 thus you reduce any risk of having any external exposure where a valve could fail or a seal would need maintenance. So you increase the time between maintenance and potential failures. And we are being at the moment, this is in a Phase 1 with the Department of Energy, where the Department of Energy is contributing $197,000, I believe to the study. Once that study is complete, which will be in the next couple of months, we will be deploying the first demonstrator of the Coast of New Jersey, and then looking to secure additional funding for commercializing this product which would then occur at some point over the next 12-18 months. 
Unidentified Analyst : Okay, thank you.
Operator: . Our next questions come from the line of Robert Rael, please proceed with your questions.
Unidentified Analyst : Hello, okay. I got a couple more questions. One is, is the study that's going on with Adams engineering and the study with the Navy and the 5G, is that study classified or secret?
Robert P. Powers: That study is not classified or secret. But for commercial confidence reasons. I can't divulge the details of the study other than what I just mentioned about the slammer study in general.
Unidentified Analyst : Okay, one more. Say the Navy needs one of these anchor those buoys that you're working on with say they need one deployed somewhere in the world, that something's come up military wise, can they be air dropped?
Philipp Stratmann: I, we don't currently have an anchorage buoy that we have commercially available and we are not working on an anchor list. We're working on single point moorings. To this point in time, we have not looked at air dropping one of our buoys. But one of the reasons we acquired marine advanced robotics is the ability to have additional launch and roaming capabilities in order to deploy MDA systems for ISR purposes, say for example, on a global basis.
Unidentified Analyst : Okay, well I've read several articles on Navy sites about either call it an anchorless buoy, or a station keeping buoy. So you're not working on either one of those?
Philipp Stratmann: I think those were concepts that were being developed and talked about a couple of years ago. But what we decided where we've gone is that we're utilizing some of the findings from the anchorless concepts and putting that into the mouseclick system, which is a next gen power system. And in addition, I think given the growth in the ASV/USB market, look instead of having an anchorless buoy having roaming vehicles is a much anchorless concept because you can cover a much larger area at any given time.
Unidentified Analyst : Okay, so that sounds like to me that you might be using the PB3 to be recharging docking station for the RAM?
Philipp Stratmann: That is definitely one of the concepts we're working on. And it's a concept we actually developed prior to even the MAR acquisition with some potential docking station partners.
Unidentified Analyst : Alright, thanks.
Operator: Thank you. Our next question has come from the line of Robert Cervera  with RE Cervera Associates . Please proceed with your questions.
Unidentified Analyst : I'm sorry that I came in a little bit late. I missed the first 12 minutes or so. Did you announce any new sales of actual PB3 units and if not, do you have any on order?
Philipp Stratmann: Hi, Robert. No, we did not announce any new sales or any backlog. We are in active discussions with several customers, domestic and overseas right now, where the PB3 and the hybrid are under discussion as the platforms for a maritime domain awareness solution.
Unidentified Analyst : Oh, okay. So right now all revenues are coming from basically services provided?
Philipp Stratmann: Right, in the quarter they came from services provided and the study with the Department of Energy. Obviously, as we're moving forward, you might have missed that and it was before you logged on. Obviously MAR is immediately accretive to our business. But these are activities that occurred in the third quarter so far.
Unidentified Analyst : I see. Okay, thank you very much.
Operator: Thank you. Our next questions come from the line of Joe Dirkowski . Please proceed with your questions. 
Unidentified Analyst : Yeah, how many offshore buoys are there off the Coast of New Jersey?
Philipp Stratmann: There is three permitted sites, given the weather that occurred over the past last week. We actually we put them in after being out there for several weeks. And we are currently waiting for a suitable weather window for redeployment on those systems.
Unidentified Analyst : How many buoys were pulled in?
Philipp Stratmann: Lot. The final one was pulled in, I believe, last week on Tuesday or Wednesday.
Unidentified Analyst : Okay, so in the last call, you had said that there were going to be three buoys set out off the coast of New Jersey. So did you take in three buoys that were out there or how many actual buoys were out there that you pulled in?
Philipp Stratmann: Okay, so now I understand your question, I apologize. We had two out because of the weather windows, two come back in and we've got -- actually we've got five that we're looking to put out onto the three sides. I think if I -- on the last call, if I didn't mention on that one, the way we're going about it is we are cycling some of the buoys in and out so that we can go and make refinements to some of the payloads based on the live data we're collecting. And then we're hot swapping the payload systems on the different platforms in and out. That is efforts that are continued to be ongoing. And I think we currently have three on standby, that will go out at the earliest opportunity again.
Unidentified Analyst : How much revenue directly came from 3Dent last quarter, I mean, can we see an uptick in revenue here or is this what we have to look forward to for what we paid for it?
Philipp Stratmann: The last quarter 3Dent revenues were 200 -- just over $260,000. And we have seen a material uptick in the opportunity pipeline and in revenues coming into the third quarter, given the uptake in oil pricing as well as the uptake in East Coast wind farm activities.
Unidentified Analyst : What happened with the PowerBuoy 3 in Japan and was launched in 2018?
Philipp Stratmann: The PowerBuoy that was out from Mitsui engineering, I think it was out there -- I can't recall whether it was six months or there about but that project ended and that buoy came back to us. That was a demonstrator project for Mitsui.
Unidentified Analyst : And how -- what kind of feedback are you getting from the Chile buoy that's out there?
Philipp Stratmann: Well, as you can see from the public statements as well that EGP has made, they are appreciative and they like the buoy operations profile. And in fact I believe there is a -- they have a public website where you can see how the buoy is operating, the power is generating and so on and so forth.
Unidentified Analyst : I guess my point out of the whole thing is why isn't the buoy getting any traction out there, where the company's not even able to sell one a year or one a quarter, nothing. Can we see, I mean, what's holding it back, is it the sale, is it the data that's not -- are they not working out there properly, what's the end game with them? 
Philipp Stratmann: So I think the buoys work as designed and as intended and as engineered. The reason we are making the pivot, and we're executing it very swiftly to boards more of the solution side is that our customers are looking to us to provide them not just with the platform, but also with the payload and the integration of that payload into their systems. And that is where we've seen a material uptick in our opportunity pipeline, ever since we've moved towards being able to provide them more of a call it a modified off the shelf type systems as opposed to being able to solely provide them with the power platform in and of itself.
Unidentified Analyst : I mean, if anybody's looking at the Chile information I just pointed out, I mean, nobody's stepping up to the plate and putting orders together for it and seeing that if it's working that good well, our company wants one and why aren't we seeing that?
Philipp Stratmann: Was it the conversations that we are having since the deployment of Chile as well, and since we've moved towards the ocean data as a service offering have increased substantially and as I mentioned earlier, the conversations we're having with some overseas and domestic customers are around the buoys, but the buoys as a platform for the payload that is going to be provided, specifically around maritime domain awareness on subsea sensing.
Unidentified Analyst : Do you have any idea of when we're going to see any kind of revenues on the books with the new acquisition of WAM?
Philipp Stratmann: You will see revenues on those books this quarter. This is an immediately accretive deal.
Unidentified Analyst : Alright, thanks, gentlemen.
Operator: Thank you. Our next question comes from the line of Robert Cervera  with RE Cervera Associates. Please proceed with your questions.
Unidentified Analyst : Hi, since you have moved strictly, it seems to this selling services idea we are the as I understand you, we are the provider of the unit that will be the base for the services. Therefore, the cost is hours of creating this unit. What kind of time frame gives us from the services costing, the payback for our investment in the actual buoy and sub system?
Philipp Stratmann: Thanks for the question, Robert. The way we're looking at it, it is somewhat of a hybrid model that we're discussing with some of our potential customers right now. In some instances, they're looking at acquiring the platform, or then us providing the services on top. In other cases, they are discussing with us rolling in essentially a lease model similar to what we did for E&I and Harbor Energy a couple of years back and rolling that into the overall cost. So it kind of depends on the customer and whether they're governmental or private, but it generally is a hybrid between leasing or selling of the platform and then the provision of the services for the payloads and the corresponding subscription charges.
Unidentified Analyst : So we are obviously willing to go either way through lease or purchase?
Philipp Stratmann: Yes, we are willing to go either way primarily in order to rapidly scale up the installed base that exists out there.
Unidentified Analyst : Very good. Thank you, that clarifies things.
Operator: Thank you. Our next question has come from the line of Tom VanArsdale with Arsdale Capital Management. Please proceed with your questions. 
Operator: Could you check if you're on mute, please? Tom one more time, are you self-muted?
Unidentified Analyst : Yes. Can you hear me now? I'm sorry.
Philipp Stratmann: We could hear yes.
Unidentified Analyst : Yes, sorry about that. Robert Cervera asked a very interesting question. I'd like to follow up with a follow up question on that. He asked for what is the payback? On the model for data? The company's pivoting to a data as a service, what is the payback, how long will it take from the initial capital cost to build it, deploy it, get it out there, put the systems on, and then get paid back for a profitable business? So that's the question I'd like to ask.
Philipp Stratmann: Yeah, so thanks for the question. I think in terms of others, as I mentioned to Robert, in the case of where the hardware is sold, the payback on that is immediate plus the margin that's on top of that. It is immediate to the point of obviously, at the point of delivery and an acceptance test, and then it's the recurring data stream. In terms of the lease model, it will be around -- it depends on the duration that the customer needs it for. But typically speaking, like with all offshore assets, it will be somewhere in a range between 18 to 36 months, which is typically speaking where most offshore assets are paid back over a lease period.
Unidentified Analyst : So you're saying that the actual contract that may develop is an 18 to 36-month contract and over that time, the payback will be complete, in terms of covering all of the upfront capital costs deployed?
Unidentified Analyst : No, no, Tom, that's not what I'm saying. What I'm saying is that the contract could be any duration from six months to 10 years. But the typical payback period of the hardware in and of itself sits in the 18 to 36 months’ range. That's one of the main reasons why we are spending the time and effort at the moment of developing the data capabilities in addition to that, because that is the recurring data subscription charges that we can then maintain, even once the hardware is paid off to have recurring revenues on an installed base that is paid off.
Unidentified Analyst : So as I understand it, it would require, this model requires consistent revenue stream customers that would enable a payback, is that correct?
Philipp Stratmann: Well, we would only lease if it is on a longer term basis or with a with a customer where there's a high degree of certainty on recurring revenues. Otherwise, the model as I mentioned to Robert, would be focusing on a sale of the hardware and then provision of the services on a recurring basis on top of the sold hardware. 
Unidentified Analyst : Okay.
Operator: Thank you, that is all the time we have today for question-and-answers. I would like to hand the call back over to Dr. Philipp Stratmann for any closing comments.
Philipp Stratmann: Thank you. I'm very excited about what is ahead for OPT. With the additions of Marine Advanced Robotics and 3Dent technology we are transforming the company with new and varied capabilities that seek to build on the innovative technologies on which OPT was founded on. We are confident this will translate to long-term value for our customers and shareholders. I want to thank our customers, employees, vendors, strategic partners, and shareholders for your continued support.
Operator: Thank you for your participation today. This does conclude today's teleconference and webcast. You may disconnect your lines at this time.